Operator: Welcome to the Molson Coors Brewing Company Second Quarter 2015 Earnings Conference Call. Before we begin, I will paraphrase the company's Safe Harbor language. Some of the discussion today may include forward-looking statements. Actual results could differ materially from what the company projects today, so please refer to its most recent 10-K and 10-Q filings for a more complete description of factors that could affect these projections. The company does not undertake to publicly update forward-looking statements whether as a result of new information, future events or otherwise. You should not place undue reliance on forward-looking statements, which speak only as of the date they are made. Regarding any non-U.S. GAAP measures that may be discussed during the call and from time-to-time by the company's executives in discussing the company's performance, please visit the company's website, www.molsoncoors.com, and click on the Financial Reporting tab of the Investor Relations page for a reconciliation of these measures to the nearest U.S. GAAP results. Also, unless otherwise indicated, all financial results the company discusses are versus the comparable prior year period and in U.S. dollars. Now I would like to turn the call over to Mark Hunter, President and CEO of Molson Coors. Please go ahead.
Mark Hunter: Thank you, Carmen. Hello and welcome, everybody, to the Molson Coors earnings call. And many thanks for joining us today. With me on the call this morning, we have Gavin Hattersley, CFO of Molson Coors and currently the Interim CEO of Miller Coors and from Molson Coors we have Stewart Glendinning, our Canada CEO, Simon Cox, our CEO for European business; Kandy Anand, our International CEO; Sam Walker, our Chief Legal and People Officer; Brian Tabolt, our Controller; and Dave Dunnewald, our VP of Investor Relations. In the second quarter our underlying pretax earnings on a constant currency basis increased 5.9% driven by positive net pricing along with the results of cost savings initiatives. Due to higher tax rate and unfavorable foreign currency our underlying after-tax income decreased by 9.9%. We increased the gross margins in the U.S., Canada and Europe and grew net sales revenue for hectoliter in the U.S. and Canada in local currency. Overall Europe NSR per hectoliter declined in local currency, but if we exclude the impact of the terminated Modelo and Heineken contracts, NSR per hectoliter increased in all of our major Europe markets apart from Serbia. We also expanded global underlying operating margins, driven by our U.S. and Canada businesses. In the quarter we continued to implement our strategy of driving brand-led profit growth, meaningful cash generation and disciplined cash and capital allocation. We have invested consistently behind our core brands, with for example Coors Light in the U.S. growing share of segment, we made progress in transforming our portfolio toward above-premium, craft and cider and we expanded the depth and reach of our international brands in fast-growing markets. And we have continued to increase our commercial capability. Additionally this year, we have repatriated Staropramen lager to our U.K. portfolio and purchased the Mount Shivalik Breweries business in India and the Rekorderlig cider brand distribution rights in the U.K. and Ireland. These acquisitions give us high potential platforms to grow our business in key markets. We also made a decision to substantially restructure our China business as we focused on accelerating the performance of our overall International business and we have closed our Alton brewery in the U.K. as we continue to restructure our U.K. supply chain." Additionally, we remained resolute on utilizing PACC as our key business-decision framework, using our cash to reward investors and ensure a healthy balance sheet, reducing costs to provide front-end firepower, and placing smart bets that deliver brand-led growth opportunities. Our strategy is underpinned by highly engaged, passionate and inspired people with the ambition to be First Choice in the eyes of our consumers and our customers. This progress in the quarter was against the backdrop of continued volume pressure in our largest markets, significant impact from foreign currency movements, a higher tax rate, and terminations of business contracts in the U.K. and Canada, as previously communicated. Other 2nd quarter performance headlines are as follows. Our net sales per hectoliter decreased 2.2% in constant currency, driven by sales mix changes within our Europe and International businesses, including the impact of terminating the Modelo brands and Heineken contract-brewing agreements in the U.K. These factors were partially offset by positive global pricing and revenue management in local currency. Constant currency net sales decreased 3.3% due to lower volume in Europe and Canada and negative mix in Europe and International, again partially offset by positive net pricing. And by adding in the additional effect of foreign currency, reported net sales declined 15.4%. Coors Light volume declined 2.3% globally, driven by declines in the U.S. and Canada, partially offset by high-single-digit volume growth outside North America. Our global craft portfolio grew volume high-single digits in the quarter, and our cider portfolio grew more than 30%. Worldwide volume declined 1.9%, including the impact of the termination of our Miller brands agreement in Canada and the Modelo brands contract in the U.K. Underlying pretax income of $327.9 million was down 0.9% but increased 5.9% on a constant currency basis. Underlying after-tax income decreased 9.9%, driven by a higher tax rate, which was cycling a large discrete tax benefit a year ago, and unfavorable foreign currency. These factors were partially offset by positive net pricing and the results of cost savings initiatives. Underlying EBITDA in the quarter was $455.3 million, a 4.4% decrease from a year ago, again due to foreign currency movements. Additionally, we began to implement our four year $1 billion stock buy-back program, with more than 672,000 Class B common shares repurchased in the 2nd quarter, and another $50 million of cash used early in the 3rd quarter for Class B stock repurchases. In terms of regional highlights, in the U.S. underlying earnings increased 8% due to lower brewing and packaging materials and fuel costs, as well as higher net pricing and supply chain cost savings. Volume was lower in a weak 2nd quarter for the U.S. beer industry. Overall, Miller Coors achieved strong financial results, along with continued progress in transforming our U.S. portfolio toward the above-premium segment. In core brands, Coors Light and Miller Lite both grew share of segment, while Coors Banquet grew volume and market share. Our Above Premium portfolio, led by Blue Moon Belgian White, Leinenkugel’s and the Redd’s family, grew in the quarter. In Canada, underlying pretax income grew 4.3% in constant currency, due to positive pricing and mix, as well as substantial cost savings, despite the negative impact of terminating our Miller brands agreement at the end of March this year. Including the impact of unfavorable foreign currency, underlying earnings declined by 5.5%. Canada sales to retail or STRs, declined 8.1%, with the biggest individual driver being the termination of the Miller contract. In core brands, Coors Light and Molson Canadian volumes declined in the quarter, in part due to industry weakness in their highest-share regions. In above premium, Coors Banquet delivered strong volume and share growth in the 2nd quarter, as did Mad Jack Apple Lager, Molson Canadian Cider and Strongbow Cider -- and we delivered double-digit growth from our Granville Island craft brands. In Europe, excluding the impact of currency movements and the terminated Modelo and Heineken contracts, our Europe underlying pretax income would have increased in the 2nd quarter, driven by higher sales volume, positive pricing and lower costs. Europe business underlying income decreased 21.5% in the quarter, entirely due to the impact of unfavorable foreign currency and the terminated contracts. We were pleased to see some recovery -- and higher beer volumes -- in the areas of Croatia, Bosnia and Serbia that were badly affected by severe flooding a year ago. In core brands, Carling trends improved from earlier in the year, and Ozujsko and Bergenbier grew volume and segment share in their core markets. And our craft and above premium portfolio continued to perform well, with Coors Light, Doom Bar and Staropramen outside of Czech all achieving strong growth in the quarter. Our International business again delivered double-digit volume growth in the second quarter with triple-digit volume growth in India, due to the strong performance of our existing India business and our acquisition of Mount Shivalik Breweries earlier this year, along with double-digit growth for Coors Light in Latin America. During the quarter, as part of our International profitability goal, we announced our decision to substantially restructure our existing China business, which resulted in the recognition of $3.6 million of price promotion expense. This additional promotional expense and unfavorable foreign currency were the primary driver of the $2.1 million increase in International's underlying pretax loss versus a year ago. These factors were partially offset by higher volume and lower marketing spending. Now I'll turn to over to Gavin to give additional second quarter financial highlights and perspective on the rest of 2015. Gavin?
Gavin Hattersley: Thanks, Mark and hello, everybody. In financial highlights, underlying free cash flow for the first half of 2015 totaled $241.1 million which represents a $90.6 million decrease versus the first six months of 2014. This decrease was primarily driven by a lower underlying after-tax income, negative foreign currency and less benefit from working capital changes, including higher cash paid for taxes. Our first half free cash flow included the following factors, $198.1 million of operating cash flow and $248 million of net add-backs for our discretionary U.K. pension contribution in January. Miller Coors investments in businesses and the cash impact of special items. Investing cash outflows included $139.8 million of capital spending. Our underlying free cash flow included $692.9 million of cash distributions from Miller Coors and $758.1 million of cash invested in Miller Coors. A detailed reconciliation of our underlying free cash flow is available in our earnings release distributed this morning. Total debt at the end of the second quarter was $3.138 billion and cash and cash equivalents totaled $413.8 million, resulting in net debt of $2.724 billion, which is $430.4 million lower than a year ago. Please see the earnings release we distributed earlier this morning for a detailed review of our business unit financial results for the quarter. Looking forward to the balance of 2015. The following full year forward guidance is unchanged from last quarter. Our annual target for underlying free cash flow is $550 million, plus or minus 10%, at July 31 foreign currency rates. We expect cash contributions to our defined benefit pension plans to be in the range of $300 million to $320 million in 2015, including our 42% of Miller Coors contributions. We anticipate 2015 pension expense of approximately $27 million, including our portion of Miller Coors. We expect capital spending to be approximately $300 million. We expect our 2015 MG&A expense in Corporate to be approximately $110 million. Our consolidated net interest expense to be approximately $120 million, which is based on foreign exchange rates and hedging positions at the end of the second quarter and our 2015 underlying effective tax rate to be in the range of 18% to 22%. After this year, we expect our underlying tax rate to be near the low end of our long-term range of 20% to 24% for the next few years, assuming no further changes in tax laws, settlement of tax audits or adjustments to our uncertain tax positions. In 2015 cost outlook, we continue to expect Canada cost of goods sold per hectoliter to increase at a mid-single digit rate in local currency and International business COGS to decrease at a low double-digit range per hectoliter. Miller Coors, however, now expects 2015 cost goods sold per hectoliter to be approximately in-line with the year before versus pervious guidance of the low single-digit increase, with the change driven by lower fuel and commodity costs. In Europe, we now anticipate a low-single digit decrease in cost of goods sold per hectoliter this year in local currency, versus a mid-single digit decrease previously, primarily due to increased sales of higher-cost above premium brands. And finally, regarding the profit and cash headwind from foreign currency that we expect this year: If we apply foreign exchange rates at the end of July to our results for the second half of 2014, it would reduce underlying pretax earnings for that period by more than $43 million -- and the impact on cash would have been even larger. By adding the foreign exchange impact on pretax results for the first half of this year, we arrive at a full-year foreign currency impact of more than $70 million versus our 2014 consolidated pretax results. We have taken steps in recent years to mitigate some of our foreign currency exposures via debt structures and hedging. At this point, I'll turn it back over to Mark for outlook, wrap up and the Q&A. Mark?
Mark Hunter: Thanks, Gavin. In addition to the foreign currency headwind that Gavin just discussed, our results in the balance of this year will continue to be challenged by the termination of three major business contracts, which we anticipate will have a full-year 2015 profit impact of $40 million pretax, as well as a higher effective tax rate. Additionally and importantly, we plan to significantly step up our portfolio investments across all of our businesses. These investments will have a particularly negative impact on third quarter and overall second half bottom-line results, but we expect them to provide benefits long term, as we focus on delighting our consumers and our customers to ensure we are the first choice in the geographies and segments where we choose to play. Regionally, in the U.S., we are driving a handful of priorities. Job number one is to transform our portfolio and rediscover volume growth. And to do this, we have three focus areas. Firstly, taking share and growing our American light lagers, Coors Light and Miller Lite. As part of Coors Light's overhaul, we are rolling out a contemporary visual identity across all packaging, and we have introduced new national television advertising that emphasizes Coors Light’s Rocky Mountain heritage. Secondly, we'll continue to premiumise the portfolio and further develop Above Premium offerings that have the potential to build scale quickly and sustainably. Examples include the successful launches of Blue Moon White IPA and Leinenkugel’s Grapefruit Shandy, along with the expansion of Blue Moon Cinnamon Horchata 6-packs, as well as the introduction of Leinenkugel’s new seasonal release, Harvest Patch Shandy. And then thirdly, we will simplify and clarify our below-premium portfolio offering. Job Number Two in the US is to improve our commercial capability, including winning an on-premise and increasing the relevance of our brands in this critical channel, where brands critically are built, and finally Job Number Three is to ensure that our cost base is competitive and fit for the future. Consistent with our priorities, in the 2nd half of this year, we intend to invest significantly in our brands and information technology, and as a result we expect our US underlying operating margins for full-year 2015 to be relatively flat versus prior year. In Canada, we continue to invest in our core brands and Above Premium, including Craft, imports, cider and flavored malt beverages. For our core brands, a new ad campaign and increased focus on commercial execution on Coors Light will provide the foundation to help improve trends for our largest brand in Canada. Also, solid creative execution and integrated supporting programs for Molson Canadian, particularly related to our Anything for Hockey and Beer Fridge advertising, are starting to create a renewed bond between drinkers and our second-largest brand. In the 2nd half of this year, we plan to invest aggressively in these programs. In Above Premium, the termination of the Miller brands contract will present a headwind for our business through to the 1st quarter of next year. Despite this, the strong performance of the Coors Banquet, Mad Jack Apple Lager, Rickard’s Radler and Molson Canadian Cider brands are influencing the transformation of our portfolio toward the above-premium segment, and our expanded partnership for the Heineken, Dos Equis, Sol and Strongbow brands is delivering volume and share. We also recently announced that Blue Moon Belgian White, the number-one selling craft beer in the United States, is coming to Canada this month as Belgian Moon. In Europe, we will cycle the terminated Modelo and Heineken contracts in the UK for the balance of this year. The Modelo brands volume represented about 1 share point in the UK for us last year. The repatriation of the Staropramen brand rights for the UK business and securing the U.K. distribution rights for Rekorderlig cider are part of the plans we said we would execute to transform our portfolio and mitigate the impact of these contract losses. Starting in 2016, we expect these two brands to add more than 350,000 hectoliters of above Premium volume annually to our Europe business and provide attractive growth potential for the future. In combination with the integration of the Franciscan Well craft brands in Ireland and the acquisition of the brewing and kegging operation of Thomas Hardy’s Burtonwood Brewery in England, we now have a broad range of consumer and customer offerings in the above-premium, craft and cider segments across the U.K. and Ireland. Also, we continue to invest in our core brand portfolio across Europe to ensure that these critical brands remain relevant and contemporary for our consumers. The positive momentum we are currently seeing in the Carling, Ozujsko, Bergenbier and Borsodi brands illustrates that this investment strategy is working. Additionally, we intend to explore further opportunities to improve the efficiency and effectiveness of our European operations over the coming months to unlock more resources to invest in driving top-line and bottom-line growth. Our International business is focused on attaining profitability in 2016 on a constant-currency basis and accelerating our overall growth and expansion into new and existing markets. We will continue to drive rapid growth for Coors Light and develop Coors 1873 in Latin America. We will also continue to build on Staropramen’s momentum in greater Europe, recognizing that volume for this brand in the UK and Ireland will transfer at the end of this year from our International business to our Europe operation. Additionally, we will augment rapid growth in our existing India business with growth from our newly acquired Mount Shivalik Breweries operation. Finally, here are the most recent volume trends for each of our businesses early in the 3rd quarter. In the U.S. through July 25th, STRs decreased a low-single digit rate. In Canada through July 31th, STRs were down high-single digits, however excluding the Miller brands last year, our Canada STRs for this period decreased at a low single-digit rate. In Europe in July, sales volume was up high single-digits, driven by growth in 10 out of 11 countries in the region. Our International sales volume, including royalty volume, increased at a double-digit rate in July. As always, please keep in mind that these numbers represent only a portion of the current quarter, and trends could change in the weeks ahead. So to summarize our discussion today, our 2nd quarter financial results reflect continued volume pressure in our largest markets, significant impact from foreign currency movements, a higher tax rate, and terminations of business contracts in the UK and Canada. We expect these headwinds to continue in the balance of this year, along with a significant step-up in our brand investments across all of our businesses, which we expect to negatively impact our short-term profit but provide longer-term benefits to our financial performance. Going forward, we will continue to implement our strategy of driving brand-led profit growth, meaningful cash generation and disciplined cash and capital allocation. Over time, we expect this strategy to help us unlock opportunities for growth in Molson Coors Brewing Company's top-line, bottom-line and long-term shareholder value. Now, before we start the Q&A portion of the call, just a quick comment. As usual, our prepared remarks will be on our website for your reference within a couple of hours this afternoon. Also, 1 p.m. Eastern Time today, Dave Dunnewald will host a follow-up conference call, which is an opportunity for you to ask additional questions regarding our quarterly results. This call will also be available for you to hear via web cast on our Web site. Additionally, we hope to see many of you at the Barclays Global Consumer Staples Conference in Boston on Thursday, September 10. So, at this point, Carmen, we would like to open it up for questions please. Thank you. Carmen?
Operator: Your first question is from the line Judy Hong with Goldman Sachs. Please go ahead.
Judy Hong: My first question is on Canada. So, it seems like you lost share but you’re pricing and profitability was relatively healthy. So, can you just talk a little bit about your market share performance and kind of your balancing share versus profit, it sounds like may did the investments we'll step up in the back half, so would you expect the market share performance to improve and is that really more of near term priority in Canada?
Mark Hunter: Hi, Judy. Let me offer you just a couple of comments and then Stewart can pick up on the detail. I think the encouraging thing in Canada as you mentioned is our pricing performance was strong and having now secure de-pricing performance clearly, it gives us option as we move into the second half of the year, a signal very clearly that we do intends step up the level of our commercial investments behind out portfolio. Stewart, do you want to talk about some of the priorities as we go through the second half of the year?
Stewart Glendinning: Sure, Mark. Look, Judy, we're not going to give any specific guidance on where we think share will end up. I think there is always a careful balance between share and the price. We've got the flexibility in the back half for being able to choose that, one area of note, I'd just point out is our conscious decision with Coors Light in Quebec in the second quarter to take the price up to match the 5% beers that's the one market in Canada, where the 4% beers have historically have been priced underneath to the 5% beers. So we sought to address, that was a really specific decision. In other parts of the country, we saw some fairly aggressive pricing and price spending and my team is looking at those tactics for the back half.
Judy Hong: Okay. So would you attribute some of the market share losses to the healthy pricing and the more aggressive competition or is it sort of the ongoing challenges that you've been stating?
Mark Hunter: I wouldn't say that the answer that is, yes. There were placing where higher prices have translated into lower ship.
Judy Hong: Okay. And then Gavin just two questions for you. One is just on the U.S. and sorry, I missed the Miller Coors calls but I think one of the priorities that we're hearing more from you is just simplifying and streamlining the low premium segment and recognize that you've got a long tail there and I guess, historically some of the challenges that you've padded, just working with your distributors and making sure that you've got a plan in place. So, can you just elaborate on the plan there? And then on the financial side, the free cash flow guidance this year just remind me what’s embedded in terms of the currency impact and any other kind of puts and takes that’s changed since your last guidance?
Gavin Hattersley: Okay. So, Judy, let me take the last one first, from a free cash flow point of view, I'll just remind you that our guidance is $550 million plus or minus 10%. And we haven't been specific about the foreign exchange impact on that underlying free cash flow other than to say that the 70 million I referred to from a profit point of view, the impact from a cash point of view would be even higher than that. And if I can just remind you of some of the impacts beyond FX because obviously foreign exchange is a big part of that, but we did have our strong push on working capital in 2014, which over delivered for us and if you recall some of our larger customers paid early and then we do have a higher capital investment plans, some of the cost savings programs and we have higher cash tax payments, as our cash tax rates gets closer to our underlying tax rates. So that's really the cash flow side. And let me just talk my Molson Coors cap off and put the Miller Coors cap on.
Mark Hunter: Below premium.
Gavin Hattersley: Below premium was the other question. Look I mean we all continue to lose share of industry and shares of segments in our economy brands and we are reviewing our long term strategy for these brands. We know we have the ability to win in the economy segment for example in 2014 and the first half of this year Steel Reserve has been up in mid-single digits, in large part due to the introduction of the Flavored Steel Reserve Alloy Series. So we're going to get sharper from our below premium economy segment point of view, we're going to simplify and I'm not ready to share those details publicly. We do have our full distributor meeting with our distributors coming up and we'll elaborate a little bit more then.
Judy Hong: Got it.
Mark Hunter: Judy, the only thing I would add, I mean your specific question was around the relationship with our distributors and below premium brands that job number one is for the team at Miller Coors to really clarify our below premium portfolio strategy and align that with our retailers, our distributors will then benefit from the impact of that clarity. That's a work in progress and Gavin and the team will be taking that to market in the near term.
Judy Hong: Got it, okay, thank you.
Operator: And your next question is from the line of Vivien Azer with Cowen and Company.
Vivien Azer: My first question has to do with your price mix realization in Europe. I recognize that there are a lot of moving pieces as some of your previous partnerships unwind, but given the change in your COGS outlook, driven by premium mix shift can you offer a little bit more color on what your price mix or price per hectoliter realization would have looked like on an underlying basis in Europe in the quarter?
Mark Hunter: Vivien, I'll let Simon talk to the detail, just you know from a context point, one of the things I referred to in the script was actually in local currency we saw pricing growth in a per hectoliter basis. The context in Europe as we go from local currency to Euros or from sterling to Euros and then onto dollar, so it can get a little bit complex. Simon, you want to offer just a bit more detail as to how you are reading the mix across countries and across our portfolio?
Simon Cox: Yes, thanks Vivien. As Mark said when you talk across 11 countries with a fair degree of movement in some of them and the impact to contract manufacturing and the loss of Modelo is complex but let me try and simplify it for you. I think the first thing to say is that pricing in this quarter overall in Europe was up 0.6%, so the negative was really the mix and again the mix comes back to the loss of the contracts. If you take those impacts away then our net sales revenue per hectoliter was up in 10 out of our 11 markets with the exception being Serbia. So overall, based on the fact that actually we did -- again if you strip out the Modelo brands grow volumes, we were quite pleased that the pricing and volume mix equation with pricing being up 0.6% and net sales revenue per hectoliter being up in 10 of the 11 markets. So overall we think our pricing was pretty solid particularly when combined with our volume performance.
Vivien Azer: That's very helpful.
Mark Hunter: And Vivien I would just now refer you back to the fact that we've seen -- certainly our volumes across a majority of our markets and through July continue to move positively. So I think the team are getting the balance right between price and volume virtually across all of our markets.
Vivien Azer: Absolutely, no that's great. My second question has to do with Canada and the industry backdrop, you know one of your key competitors reported earnings and actually he had characterized the Canadian market, how the industry is, having had good performance in the quarter which stands in contrast a little bit I think to the way that you guys characterize the market. So can you could offer any more context, is that just a function of relative geographic mix or is there anything underlying kind of the discrepancy in that commentary.
Mark Hunter: Stewart, do you want to pick that up and just give a feedback [ph] of the industry backdrop?
Stewart Glendinning : I'm not sure Vivien where you saw the discrepancy, certainly we saw an industry that was healthy, in positive territory. I think from our stand point we had two things going on in our business when you look at the underlying performance. Our pricing was stronger and we certainly weren’t affected by geographic mix, when you look across the country the west was much stronger than the east. And if you looked at Ontario and Quebec and the Atlantic provinces, all of those declined. Those are the provinces in which we are strongest.
Vivien Azer: Thank you very much.
Operator: Your next question is from Ian Shackleton with Nomura.
Ian Shackleton: Yes, good morning gentlemen. Two questions, firstly in Europe, certainly the volume numbers look pretty good, I just want to know whether you could give out market shares across the major markets, I know it’s a relatively easy comp to the flooding, but you do seem to have done pretty well and perhaps you can give us an idea on shares. On Canada I mean you gave us the figure of minus 8.1 and then say that half of that due to the Miller brand. Is there nothing coming back from the extended Heineken contract yet? Is that something still to come or does that have a reasonable impact, positive impact on this quarter?
Mark Hunter: Hi Ian, I'll ask both Simon and Stewart just to talk to the specifics. I think it's fair to say within Europe that we don't [indiscernible] into the share by country. At also Europe’s level we did lose a little bit, about 0.33%, but than if you reversed out the impact of the loss of the Modelo then actually, it holds a relatively flat year on year. Simon, anything you would add to that?
Simon Cox: Not a lot, Mark, because as you say we don't intend to speak to that by country. If you do reverse have that in Modelo volumes and then aggregate it back up, we did actually slightly grow share across the region, which is a setting combination with what we regarded to be pretty decent pricing performance and this is what we're seeing in the market in terms of discounting, then we were pretty happy with our volume performance. So, very slight share gaining, if you reverse out the impact of losing the Modelo contracts.
Mark Hunter: Yes, probably the only other thing I'd add, Ian is that, in a number of markets within economy segment have grown pretty rapidly over the course of the last 12 months. And we are responding to that, but certainly not leaping to that and if we do how many share weakness anywhere it would tend to be in the economy segment, which is obviously lower margin segment. So, we're playing I think a very balanced and responsive game across the markets in Europe. Steward, do you want to talk about it some of the emerging tailwinds in Canada's as you look at the broader portfolio?
Stewart Glendinning: Yes, absolutely, I mean, Ian you asked a question about losing the Miller brands and picking up the intensive [ph] brands, certainly we've had a good start with intensive brands but they're much, much smaller than the loss of the intensive brand. So, I don’t know if you want more on that, but that's sort of intensive brands are a fraction of the Miller size.
Ian Shackleton: So, just to be clear, these intensive brands can be quite slow, we don't want to see step up in that seeing Q3free going forward. It will be over the next few years, will it?
Stewart Glendinning: We think we got some really good brands and of course we know that we can grow them, but we're growing off a very small base
Ian Shackleton: Understood. And just quick follow up, just getting premium back for the UK, it's called a big amount, I think, you're paying there, which is quite surprise to me, but when do you actually get that back, is that come in from 2016?
Mark Hunter: Yes and the majority of the deal is that we get the brand back from full on the 28th of December this year. So, effectively yes, for 2016 onwards.
Stewart Glendinning: Ian, other thing I'd add is, as you would expect the repay interstation of the startup from a backend to the UK has been running through our PACC model and it makes absolute sense for our business on the basis of utilization of PACC based on existing arrangement and the new arrangement and with that new arrangement will open up to us in terms of the growth profile of the brand
Ian Shackleton: I mean, I think, you've mentioned the figure 350,000 hectoliters, which should start [indiscernible], is that split 50:50 at the moment?
Mark Hunter: I don't recall, if we mentioned this, Ina.
Ian Shackleton: We know you have the opportunity.
Mark Hunter: Let’s just stick to the 150,000 hec on a full year basis in 2016 and obviously we've got an ambition to more that forward from there, but we open again the detail at this stage.
Ian Shackleton: Very good. Thanks a lot.
Operator: Your next question is from this line John Faucher with JP Morgan.
John Faucher: Two questions here, the first is can you just give us some rough idea of the magnitude of the incremental investment, just showing us an idea as we look to try to model out the balance of the year and then a second is little bit more sort of Nebulas [ph] from that standpoint potentially, but either seems to be a greater sense of urgency with you guys in terms of looking a lot of the productivity particularly related to Canada and then looking at some of the changes that are going on at Miller Coors, is there something -- do you feel like that's a fair assessment, if there is a greater sense of urgency and if so, what do you think is driving that, because it’s something that investors seem to be picking up on. Thanks.
Mark Hunter: John, let me take your second question first then Gavin can talk on the specifics on incremental investment or rather than lack of specifics increments of investment. On the second point, I've been very clear that when I commented the role that there is no fundamental change in our strategy but I'm very keen for our business to run harder and faster, and I've talked I think very consistently about the need for us to accelerate our brand building capabilities and performance faster and importantly to improve our capability at the frontend of the business. That is now our working trend, we've rolled our whole fuels sales execution model across all of the sales force in the UK and Canada. So that’s hundreds of people are now changing their behaviors, their routines and we're measuring people in a different way, around both effectiveness and efficiency. So, really starting to work harder to unlocking further growth potential in our portfolio as we continue to build that portfolio out and then parallel to that, containing to drive for a new fit for future cost base in the organization. So, I'm very pleased with how the teams have responded and I'm pleased that you're picking up that sense of urgency. It’s not nebulas, it’s important. Gavin do you want to talk about the marketing investments?
Gavin Hattersley: Sure, John thanks. We're not going to give specifics on that, but what I can said is that we are going to be increasing our marketing spend meaningfully in the U.S. and also in Canada and Internationally. We also -- are particularly in the U.S. have some significant business transformation cost in the back half, you know where we have had some go trials [ph] of our new systems and earlier this year and late last year. We've got some really big one coming forward in the back half and obviously that carries a certain level of cost associated with it. But as to giving you specifics, no, we're not going to do that.
John Faucher: And should we, should we expect that to be more media related, sponsorships, sort of, all of the above? Any just sort of rough ideas in terms of what buckets it could all go into?
Mark Hunter: John, as I mentioned we do have the Coors Light overall which we're in the process of doing at the moment, which is the new contemporary visual identity across all packaging. We've introduced the national television advertising behind Coors Light's Rocky Mountain heritage. We're going to put -- continue to put firepower behind Miller Lite's heritage program which we're very pleased with. We got the styled bottle from 1975 which is actually just gone into market which we're very excited about. We're going to continue to put money in the Above Premium and the craft portfolio's, Blue Moon White IPO for example, we've got the new Leinenkugel seasonal release that's coming up, Harvest Patch Shandy, we've got Redds. I mean I could on and on and on, John so I guess what I'm saying is it's more, I guess it will be weighted more towards media in the back half, yes.
John Faucher: Excellent, thank you very much.
Operator: Your next question comes from the line of Mark Swartzberg with Stifel Financial.
Mark Swartzberg: My question, really two, one's a follow on to John's and it's simply the incremental spend. Is it something that you had planned in your budget at the start of the year or is this based on things you're seeing here as the year progresses? And then I had an unrelated question.
Gavin Hattersley: Yes, I mean I would say largely in the business it was planned and I would say in the US we probably shaping it up to even a little more than we'd originally planned given some of the activities that we want to do Mark but broadly I would say it was in line.
Mark Hunter: I think that's fair Mark and obviously as we've seen a little bit of benefit comes through on the COGS line and in the U.S. is given us the opportunity to make some choices and we're making the right choice which is to further invest behind our brand portfolio, because we're very clear we want to get the business, really claim to win in the U.S. So we're in a position where we can make those choices and I think that the right choices for the long term health of our broad business.
Mark Swartzberg: Got it, okay great. And then with the U.S., JV I may have missed at the very beginning, I missed the opening comments but is there any update on the transition to a permanent CEO there?
Mark Hunter: Let me give you a couple of headlines, so both Allen and I have been working very hard from a recruitment perspective, have made good progress, we're both delighted with the way that Gavin has landed within the business on an interim basis and the way the team have rallied behind him and the changes that he has already implemented in the business, so I'm confident we should be in a position -- certainly in the near term to start to really confirm how we're going to move forward on a permanent basis. So more to follow, but as I'm sure you'd expect I'm not to start getting into people's career developments on a call like this Mark, but making good progress overall.
Mark Swartzberg: Okay, great, thank you guys.
Operator: Your next question is from the line of Rob Ottenstein with Evercore.
Rob Ottenstein : Great, Gavin, a first question. Given the pretty remarkable success of Constellation, with the Mexican brands, what impact has that had on the pricing environment in the U.S., particularly in the light of the fact that in a lot of states the gap now is very low between their brands and the premium brands and there's two possibilities here. One is, it looks in certain states that Constellation is becoming a price leader and they're taking some pretty, an ultra-aggressive price in California so that would be positive, the other way of looking at is, is you know there's been a lot of market share lost to them and that could create more competitive pricing dynamics. So just wondering if first off if you could kind of give us a sense of you know the pricing environment in the US and how things may have changed because of the success they've had.
Gavin Hattersley: Thanks Robert, I mean that's quite a question. So I think maybe just of, there's no question that the Mexican imports are playing in the, in somewhat of the same space, refreshing and insatiable [ph] space that the American light lagers are. The good news is that demonstrates that there's a continued relevance of refreshing and insatiable lager beers for the beer drinkers and with Miller Lite and Coors Light we think we've got two great brands that can grow volume and share and compete with them and particularly given some of the great sales and marketing programs that we've got coming. From a pricing point of view I'm obviously not going to you about what our strategy is, what I can tell is that we worked very hard over the last five weeks to develop a very clear point of view on pricing which has been led by Kevin Doyle and the team and that's a pricing strategy that we're communicating with our distributors. So we had a clear point of view, I'm obviously not going to share it, but just remember we do follow that pricing strategy that is local in nature, it's varies by brand-by-brand and it's varies market-by-markets and more detail in than Robert, I can't give you.
Rob Ottenstein : No, I'm not looking for your pricing strategy, I’m more in terms of your assessments of the pricing environment versus cost. And so do you think, I think, we're seeing signs that Constellation is starting to become a price leader in certain markets, here at 3% price increase in California, do you think there is the chance of a perhaps a greater umbrella effect from them, than in prior years?
Mark Hunter: Yes, look Robert, I mean I don't think my answer’s going to be any different other than that we have a clear pricing strategy that we're not going to share publically. That's all about all I’m prepared to say on that particular topic.
Rob Ottenstein : Okay. I would, I got it. And maybe an easier question, you talked about a couple of years ago, your move in the economy segment to PET, can you give us, I guess, a sense of where that stands now or are you a 100% national and your general assessment of whether that's been a success or not?
Mark Hunter: We are not a 100% national, no, but we are on track with the plan that we have in place for that rollout and then so far we're pleased with that, Robert.
Rob Ottenstein : Thank you very much.
Operator: Your next question comes from the line of Pablo Zuanic with SIG.
Pablo Zuanic: Hello, everyone. Look, I have two questions. Can you -- just remind us if you can please in terms of the right of refusal mechanics in the event that you're able to buy the other half of the Miller Coors and you own actually 58%, if you can just go through that. And Gavin question for you, in very basic terms, if we think about [indiscernible] top line versus profit margin expansion, I would argue that [indiscernible] there was a lot of improvement in terms of a broad portfolio on top line momentum relative to the industry, but that margins had not improved much, will there be any difference in terms of way that you're doing things right now because given all the changes you've implemented, but I'd like to get more color whether, there is any noise yet in terms of focusing Modelo margins, I mean the past, and less on top line, thanks. [Multiple speakers]
Gavin Hattersley: I'd take issue with one thing with one thing you said there, Pablo, because under Tom’s leadership, we actually expanded our operating margins almost double since the beginning of the joint ventures. I think we've been pretty successful from that perspective. From a portfolio transformation point of view, I would say, we've made really nice progress under his leadership as well and we're going to continue to focus on transforming our portfolio. We need to take share of the American light lager segments, we need to continue to put premium onto the portfolio and develop the above premium offerings and we're working very hard for that and I think we've made good progress and I'm going to continue to focus on that in a very deliberate focused and bold way.
Pablo Zuanic: At that point, could there be any changes to the medium term profit margin guidance outlook for Miller Coors and this time also [indiscernible] provide that, but you said something that I would be hearing a new on some point?
Gavin Hattersley: There has been no update to the guidance that was previously given Pablo.
Pablo Zuanic: Thanks, and second question.
Mark Hunter: I think let me just add to Gavin's comment, I think, we've been very clear about the three priorities areas within the business, a lot of that continues a good work that Tom and the team did. And looks to accelerate that over the course of the life of our long range plan. So, with regard to other question, obviously all of that information is in our filings from late 2007 and mid-2008. As to the opportunity and clearly it’s purely speculative, what's that right for us to secure a bigger share of the joint venture within the U.S., there is a right of first offer and last offer and some other associated rights, but the detail buying that's in all of the public filings, which I'd refer you to rather than get into them on this call. Thanks for your questions.
Operator: [Operator Instructions] Your next question comes from the line of Bryan Spillane with Bank of America.
Bryan Spillane: I guess follow up questions, one -- and I might miss this earlier in the call, but just in terms of the your outlook on what the effective foreign exchange will be on pre-tax profits, I think, after the last quarter, we were looking at about 55 million for the year, is that still the right number or is your outlook on the effect from FX changed at all?
Mark Hunter: I think, what I say, Bryan, was that, if you have to plan foreign exchange rates at the end of July to our results for the second half of last year and it would have reduced our underlying pretax savings by more than $43 million and so, if you add on to that, the actual foreign exchange impact in the first half of this year is about $27 million and the impact would be more than $70 million year-over-year.
Bryan Spillane: Okay. So the --.
Mark Hunter: That's probably what I've said last time.
Bryan Spillane: Okay, alright, that helps. Thank you and then I guess the only other question I'd have just been trying to frame how things have progressed through the course of this year versus maybe what you were thinking earlier in the year. Sounds to me like volume in Europe, when you strip out the effect of losing the contracts has actually maybe been a little bit better. And it sounds like maybe volume in Canada has been a little bit worse, and then in the U.S. maybe you've got a little bit better cost-to-goods environment. Is that generally right, am I missing something there in terms of just -- in terms of the smaller pieces, what's been a little better or worse than what you were thinking?
Mark Hunter: I'm not sure I would characterize it like that Bryan, I think we're pleased with our overall performance in Europe and as I mentioned if you reverse out the loss of the Modelo brands our shares increased slightly, and certainly the last couple of months through June and July you heard me mention our July STRs, we're seeing you know relatively strong volume growth so that's encouraging and clearly we're right in the middle of peak selling season at the moment and we're up against the impact of the floods from last year, so there's still quite a volatility in the marketplace, so I don't think we're in a different place to what we assumed. And certainly within Canada, sure it's been very clear that stripping out the loss of the Miller brands, there's couple of areas that have, we will look at fixing as we go through the second half of this year or the volume impact as we’ve adjusted pricing in Quebec on Coors Light and just a couple of trading tactics as well. But strategically, I feel we're exactly where we anticipated being but you know this is always a game of strategy and tactics and a couple of our tactics will adjust as we go through the second half. But I think the critical thing is back to your first question on FX, we're looking at a $70 million FX headwind as we flagged, we've also flagged up $40 million on the contract losses and we've been very clear that with the strength of our pricing that was seen in the first half, it’s given us some options to invest incrementally in the second half to further strengthen our brand portfolio. I mean that's what has happened and will be happening as we go through the second half of the year.
Operator: And there're no other questions at this time. Gentlemen do you have any closing remarks.
Mark Hunter: I'd just like to thank everybody for the time for joining us on the Molson Coors Q2 earnings call and as I mentioned earlier hopefully we'll see many of you at the Barclays Global Consumer Staples Conference in Boston, on September the 10th. So thank you for your time and interest in our company and look forward to catching up with you in due course. Thanks everybody.
Operator: Thank you again for joining us today. This does conclude today's web conference. You may now disconnect.